Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Jones Soda's financial results for the fourth quarter and full year-end December 31, 2020.  Before we begin, let me remind everyone of the company's safe harbor disclaimer. Certain portions of our comments today will concern future expectations, plans and prospects of the company that constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995.  Forward-looking statements include all statements containing verbs such as aims, anticipates, estimates, expects, believes, intends, plans, predicts, will, may, continue, projects or targets and negatives of these words and similar words or expressions. Forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those indicated by the forward-looking statements. Factors that could affect our actual results include, among others, those that are discussed under the heading Risk Factors in our most recently filed reports with the SEC, including our annual report on Form 10-K, our quarterly reports on Form 10-Q and our current reports on Form 8-K. In addition, this call includes discussions of certain non-GAAP financial measures. The most directly comparable non -- comparable GAAP measures or reconciliations for non-GAAP measures are available in the earnings release and other documents posted on the company's website under Investor Relations.  I would like to remind everyone that this call will be available for replay through March 17, 2021, starting at 7:30 p.m. Eastern Time tonight. A webcast replay will be also available via the link provided in today's press release as well as the company's website. Now I would like to turn the call over to President and CEO of Jones Soda, Mark Murray. Please go ahead, sir.
Mark Murray: Yes. Thank you, Telari, and good afternoon. We appreciate everyone joining us on the call today. I'd like to start by reflecting on my first few months as President and CEO and thank our team for their hard work, dedication and focus. Our team has done an excellent job over the past few months, remaining committed to our core business and providing best-in-class service to our customers and partners. This hard work translated into closing out the year with a very strong fourth quarter and a renewed sense of excitement around our brand as we celebrate our 25th year as a company. On the call today, we'll start with Joe to discuss our financial results for the fourth quarter. Then I'll review our sales performance, marketing initiatives and lastly, operations. Finally, we'll wrap up with a Q&A session to close out the call.  So with that, let me hand it over to Joe.
Joe Culp: Thank you, Mark, and good afternoon, everyone. Total revenue in the fourth quarter increased 14% to $2.5 million compared to $2.2 million in the year ago quarter. Similar to the past few quarters, this growth came from our core bottled sales as we continue to focus on our core competencies and drive sales through our various marketing campaigns. Gross profit as a percentage of revenue increased 670 basis points to 23.9% compared to 17.2% in the prior year period. The improvement was the result of a continued shift to a more favorable product mix and further optimizing costs in our supply chain. With these optimization improvements, we expect to sustain a stronger margin profile going forward. Operating expenses in the fourth quarter were $1.4 million compared to $1.2 million in the same year ago quarter. The increase was primarily due to an increase in general and administrative costs associated with insurance premiums and consulting expenses. As we continue to reinvest in the business, we are closely monitoring our spend to ensure we are making sound and strategic calculated decisions. Net loss in the fourth quarter improved to $918,000 or negative $0.01 per share compared to a net loss of $930,000 or negative $0.02 per share for the prior year period. Adjusted EBITDA in the fourth quarter improved to negative $806,000 compared to a negative $828,000 in the year ago quarter. These improvements to our bottom line profitability are the result of our concentrated efforts to optimize margins and manage costs, which we intend to continue to focus on going forward as we continue improving and growing the business. Now moving on to the balance sheet. On December 31, 2020, cash and cash equivalents were $4.6 million compared to $4.3 million in 1 quarter ago at September 30, 2020, and $6 million at the end of last year. This stabilization of our cash position is a direct result of the cost management initiatives and operational efficiencies we have implemented. Additionally, working capital was $5.8 million compared to $8.4 million at the end of last year. Lastly, the only debt we carry is an outstanding convertible debt instrument and our PPP loan. We continue to actively evaluate the possibility of securing a new line of credit.  Overall, the emphasis we put on the importance of managing our working capital has paid off by minimizing inventory and focusing our efforts on accounts receivable balances. Our cash management has further improved our financial position to set us up favorably for 2021 as we continue to work to support revenue growth and improve profitability.  I'll now turn the call back over to Mark for his remarks.
Mark Murray: Thank you, Joe. As I mentioned earlier, really great Q4 financial results. We start with our sales performance. We saw a 14% year-over-year increase in total revenue for the fourth quarter and a 3% annual increase. With our recently revamped digital marketing and social media initiatives driving overall awareness across our markets, the demand for Jones products continued to accelerate throughout the quarter. In fact, in the last 12 weeks, we saw Jones outpacing the category in both dollars and units. Our intense focus around the organization to maximize sales of our core products has been critically important to the company's turnaround and return to revenue growth. I would also like to note that our sales team continues to do a phenomenal job working with key national and regional accounts in the U.S. and in Canada. In fact, we continue to see growth across key channels and larger key accounts in the U.S., including Costco, Walmart, Safeway-Albertsons and Kroger. In Canada, we saw a 6% growth in dollar sales in grocery, drug and mass channels and a 55% growth in dollar sales in the convenience channel.  For our core products, we continue to focus on ensuring we close all distribution gaps while also working with our partners to ensure they are promoting and displaying our products effectively. We are proud of our core product offerings, and in January, we announced 2 new variety packs, the Fan Faves Variety Pack and the Mixer Variety Pack, both of which highlight our offerings in a new and unique way for our consumers. The Fan Faves Variety Pack bundles Jones top-selling Cream Soda, Berry Lemonade, Orange & Cream and Green Apple flavors, while the Mixer Variety Pack contains Jones Cola, Lemon Line and Ginger Beer in an effort to target today's craft cocktail and at-home DIY trends. Both packs offer our sodas in a new format that allows us to capitalize on the pantry stocking behavior we're seeing from consumers. In addition, in February, we started shipping initial orders from our Jones Soda special release program. This program allows us to bring new flavors and innovation to our loyal customers and consumers on a regular basis. Birthday Cake is already hitting store shelves, followed by Pineapple Cream, which will come later this summer. The plan will be to offer the following flavors during 2021: Birthday Cake, February through June; Pineapple Cream, July and September; and back by popular demand, this year, we will finally see the return of Turkey and Gravy, October through December. We are also continuing to develop flavor innovations for 2022, and we will ask for consumer feedback to help select these flavors.  We also continue to allocate resources toward the club channel, which includes retailers like Costco, Sam's Club and BJ's Wholesale Club. The Jones Soda team worked hard to develop 7 new club pack offerings during Q4 that are currently being presented for 2021 rotations, and we are very excited about the opportunities. We will continue to allocate resources to our food service business and ensure we are well positioned to pursue and capitalize on returning opportunities as this industry slowly starts to rebound from the impacts of a pandemic. While the food service industry has been hit hard by COVID and it's impossible to predict exactly when things will go back to normal, we are seeing some positive progress in this market with current and potential partners showing interest again in discussing new menu options. For this channel, we are focused on growing broadline distribution and have a dedicated team working to build regional and national partnerships. While the food service is a relatively small business for us today, we believe it is a tremendous growth opportunity for us in the future, given the power of our unique, high-quality products including packaged beverage, fountain beverages and frozen slush products. As we mentioned in the previous quarters, we wound down the U.S. 7-Eleven private label program at the end of 2020 and now moving forward in 2021 without this business. While this exit will bring a short-term hit to revenue, along with challenging comparable periods for the next several quarters, we remain confident that this is the best decision for both parties. Despite the exit, our relationship with 7-Eleven remains positive and it's part of our strategy to pursue more mutually beneficial and strategically aligned offerings. We are now working with them on several new projects. This includes a new seasonal Slurpee promotion in the Pacific Northwest region, which will be introduced into the market in the next several months.  As mentioned last quarter, Lemoncocco remains in evaluation mode. We have made some changes with our packaging and case configuration which will help improve efficiencies across the entire supply chain. We are currently presenting the new packaging to all of our customers. This is just the first step as there's still much work needed to determine the most appropriate go-to-market strategy for this product line. Now let's talk about some great work by the marketing team. We continue to find new and creative ways to engage with consumers. In the second half of 2020, we had our Vote 2020 initiative, which turned our bottles into nationally distributed nonpartisan voter registration tools. As a follow-up to the successful Messages of Hope label series, this program generated 90 -- 39 million earned media impressions. Most recently, we launched our Unsung Heroes campaign in January. Unsung Heroes is an initiative featuring the photographs of people or groups that have taken extraordinary steps to help others during 2020. There are so many great stories that came out of 2020, and we are proud to use our bottles as a platform to honor these stories and people behind them. This initiative has done exceptionally well so far, having approximately 40 million earned media impressions since its launch. Creating unique labels will always remain a continued focus as we believe our labels are the ultimate platform to display unique consumer perspectives, engage with fans and ultimately lead to increase sales. We continue to explore ways to make our labels more relevant and our packaging more dynamic, including innovative technologies like augmented reality. More to come to see on these very exciting initiatives.  What's great about our brand is that we can highlight any of our consumers and their stories. We've recently relaunched a gallery to make photo submissions easier than ever. Since our launch in January, we have seen average daily submissions double with an engagement rate of 74%, which is a clear indicator of the passion of the Jones brand. These submissions continue to shape our brand's personality and emphasize our message of the people's craft soda. We will, of course, continue to honor this tradition in unique and innovative ways throughout 2021 and beyond. Also in 2020, we made various investments in digital capabilities and paid social media channels that gave us the ability to amplify our message and create brand awareness in a very cost-efficient manner. In fact, over the past year, we have reached 7 million unique users through our social media with 37 million impressions. We have driven 161,000 people to our website to learn more about our products, use our store locator, and in some cases, purchase soda outright off the website. Further, we are continuing to partner with social media influencers for brand advocacy. Through our influencer network, we have reached over 3.7 million people at a measured engagement rate of over 12%. We believe our influencer investment has been critical in helping us to reach Gen Z. We have lots of great marketing initiatives in-store for this year, and I'm confident we are paving the way for long-term growth. Now we'll discuss operations. Excellent progress has been made this quarter despite continued operational challenges brought on by the COVID pandemic. As market demand has increased for consumer goods, especially for premium products like Jones, the team has worked hard to keep up with supplies for packaging from glass to aluminum, and is followed with production and overall logistic issues, this trucking and manufacturing capacity continues to be constrained. Working hand-in-hand with our great supply chain partners, the team has been able to address these challenges, allowing us to achieve public demand, and continue providing excellent service to our customers. Lastly, I want to address that the health and safety of our employees, supply chain partners, distributors and all stakeholders remains our top priority as the world deals with the effects of COVID. We continue to monitor the situation closely and will respond to further changes rapidly and responsibly. I'm proud of our highly adaptable team for all they have accomplished and their ability to operate in this new normal. So let me recap some of the highlights. From a revenue perspective, we followed up a 17.5% growth number in Q3 with a 14% year-over-year growth number in Q4 and finished the year very strong, up 3% from prior year. We improved margin of 670 basis points for Q4 and 180 basis points for the year, both on year-over-year comparisons. Three, we will continue to invest in all facets of our business, sales, marketing, operations and finance. Four, we will continue to leverage our point of difference, our labels. We talked about Unsung Heroes and we have a big surprise in December for our 25th year anniversary. Five, we will continue to lead the craft soda category in innovation. And six, and most importantly, our employees' safety will remain our #1 priority, and we will continue to listen to the advice of the health experts and act accordingly.  In closing, I am very proud of the progress we made in the fourth quarter and while continued uncertainties remain in the macro environment, our team is confident in the ability to stay focused on accelerating growth and profitability by working on the goals set in our turnaround plan. I want to thank our team, our partners and our consumers for the continued loyalty and support.  With that, I'll turn it over to Joe for the Q&A session.
A - Joe Culp: Yes. Before wrapping up the call, Mark and I would like to address some of the questions that we've received from investors via e-mail over the last week. We selected what we believe to be the most important and relevant questions to answer. So starting with the first question. Is there an update on a CBD-infused beverage? If so, what stage of development are you at? And when do you anticipate launching?
Mark Murray: Yes. So we continue to be very excited about the opportunity with CBD. We are locked and loaded and ready to go, but we're still waiting for the FDA guidelines.
Joe Culp: My question two, given you are intensely focused on selling their core product offerings, what is the rationale for introducing special release flavors? Shouldn't the focus be on continuing to increase sales of your current offerings before expanding into new flavors?
Mark Murray: Yes. I really love the special release program. Our customers expect Jones to lead in innovation, and it is important for us to keep the category exciting and fresh with variety. Special release is a great solution to offer our customers the opportunity to bring excitement to the category by offering new flavors as pass-through items without a lot of additional resources required to secure shelf space. So it's a win for our customers, it's a win for the consumer and certainly a win for Jones.
Joe Culp: All right. Question three. On the past several conference calls, you've mentioned that you are evaluating a line of credit. Can you provide any more details around this? And what time line may look like to get one in place? And actually, I'll take this one, Mark. We do continue to evaluate securing a new line of credit. And while we can't provide any details at this time, we can confirm that we are actively exploring our best options. So more to come on this.  And that takes us to question 4. Is there a specific profile for food service restaurants you are looking to penetrate for your fountain business as the industry rebounds from the effects of the pandemic?
Mark Murray: Yes. It's a really good question. It's a big food service industry. But as I mentioned, we have a very experienced team focus against this channel. We have identified 35 national and regional accounts that we will be targeting to expand our fountain and packaged goods business. There were a lot of variables that came into play in terms of the selection process, but these accounts were selected as complementary matches for our brand, and we believe we also have an opportunity to help them grow their beverage sales.  We also like small regional chains like pizza and subs shops. They want to make a statement and offer something that sets them apart from working with the big national brands. And there are also tremendous opportunities in the business and industry channel where organizations want something different for their employees. So there are many opportunities across multiple platforms as it relates to food service.
Joe Culp: All right. And that brings us to our last question, #5. Do you remain confident in your supply chain partners for 2021?
Mark Murray: The quick answer is, yes, we do. We're very grateful for our relationships with our supply chain partners. And while we currently don't expect any disruption, we will continue to monitor very, very closely.
Joe Culp: Yes. This concludes our Q&A session. We'd like to thank everyone for listening to today's call, and we look forward to speaking with you when we report our first quarter of 2020 results. Thanks for joining.
Operator: Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time, and thank you for your participation.